Operator: Hello and welcome to Accor Group’s Q3 2024 Revenue Conference Call. Please note this conference is being recorded. [Operator Instructions] I now give the floor to Madam Martine Gerow, Accor’s CFO, to begin this conference. The floor is yours.
Martine Gerow: Thank you and good evening, everyone, and thank you for joining Accor’s third quarter trading update call. And without further ado, I’ll start with the key highlights on Slide 3. So I’m pleased to report yet another strong quarter with robust top line performance in line with our perspectives for 2024. So our activity growth, as you can see on the left side, was solid in the third quarter. Demand remained strong with a RevPAR growth of 5.3% in the quarter, benefiting from the Olympic Games in France but also the diversification of our portfolio pricing remains supportive with rates improving by 4% year-over-year in the third quarter. Occupancy was also up, gaining 1 point to 70% in the quarter. Turning to net unit growth. Net unit growth reached 3.2% on an LTM basis at the end of September, which is in line with our full year guidance. As we anticipated, churn was higher this quarter as compared to the third quarter of last year, primarily driven by the portfolio upgrade program we have in the PME division and we do expect this to normalize in the fourth quarter. We regained positive momentum in the pipeline, which increased 6% versus last quarter. Pipeline totaled 231,000 rooms and this was driven by the PME division. On a year-to-date basis, pipeline is up 3%. Our signings are also progressing well, and they are up 9% in value as we continue to drive up the average fee per room. Turning to revenue. Group revenue increased by a very solid 12% to slightly over €1.4 billion and it’s 9% when you adjust for foreign exchange and scope. M&F revenue was up a solid 7% in the quarter. Therefore, we remain on track to deliver our full year guidance on all metrics. We are comfortably within our full year RevPAR growth of 4% to 5% and we have narrowed upwards our EBITDA guidance, which is now expected between €1,100 million and €1.125 million. And on the balance sheet side, we successfully completed the refinancing of our second hybrid bond issuance for €500 million at a lower cost than last year refinancing. I’ll now turn to Slide 4 on RevPAR. Starting with PME, PME posted a third quarter RevPAR growth of 5% driven by continued strong pricing for about 80% in occupancy gain for 20%. In the quarter, average room rate was up 4% year-over-year and occupancy rate was up 1 point at 71%. In ENA, Q3 RevPAR was up 6% versus prior year, driven by a 7% growth in average room with France, obviously, and Germany equally being both strong drivers. In France, Paris RevPAR was clearly boosted by the Summer Olympics. Games period delivered a peak performance, which was in line with our expectations with ADR that was more than double in the period and we also had 15 points of incremental occupancy over the game period. The province had a fairly resilient summer, September was a bit softer. September had challenging comps, because of the Rugby World Cup, which ran from September to October last year, as you may recall. In the UK, RevPAR was broadly in line with previous quarters overall, London being softer than the province. And in Germany, RevPAR continues to perform well with a growth rate in the high single-digits and occupancy rate was up in the quarter, which is an improvement from previous quarters, where it was mostly pricing that was driving RevPAR growth. Turning to MEA APAC. RevPAR was up 1% in the quarter with sharply contrasted performances. Southeast Asia was the best-performing region and continues to deliver double-digit RevPAR growth, benefiting notably from the outbound demand from China. Middle East, Africa, Turkey performance was softer this quarter. It was negatively impacted by the timing of some religious holidays, notably [indiscernible] and the latest start of [indiscernible] particularly in Saudi Arabia. We also had the reopening ramp up of 5 hotels, which had been impacted by the April flooding in Dubai. However, we saw sequential improvement in RevPAR over the quarter and we closed the quarter with high single-digit growth in MEA, Middle East, Africa and Turkey. And if we combine those two regions which are growth markets for us, we registered about a solid 6% growth, as you can see on the page. Pacific continues to be challenged with flattish RevPAR in the quarter. Macros continue to be weak and consumer confidence remains slow. China remains a challenging market. RevPAR decline was in the high single-digits in the quarter, although that is less pronounced than what we have observed in luxury goods. Now, our challenge as outbound traffic continues to recover and you see the benefit of that in Southeast Asia, Domestic demand remains under pressure. Trading improved somewhat over the golden week, which had a stable RevPAR year-over-year during that period. Thus far, the stimulus program has mostly benefited the financial sector. Turning to Americas, which as you may recall, is mostly Brazil, we continued to post double-digit growth with third quarter RevPAR up 13%. Demand was very solid in Brazil. Occupancy was up 2 points and is now sitting 3 points above 2019 notably driven by corporate and events in Sao Paulo. High inflation also benefited the rate in Brazil. Moving to luxury and lifestyle on the right side. RevPAR growth was sustained at plus 7% with both rates and occupancy gain. Rate was up 3% in the quarter and occupancy is up 3 points in the quarter. Luxury RevPAR grew 5% in the third quarter with rates up 2% and occupancy up 2 points. Luxury momentum when you look at it by market, by geography, it was actually quite comparable to that of PME with a slight positive premium. Lifestyle sustained a double-digit growth at plus 14% in the third quarter equally driven by occupancy and price. Resorts had again a particularly strong quarters in Turkey, Egypt and Dubai. Moving to portfolio and pipeline on Slide 6 – sorry, 5. As shared in my introduction, our net unit growth reached 3.2% on an LTM basis, starting with PME. Last 12-month net unit growth was 2.6% in the PME division that’s in line with our midterm guidance. It is down from 3.7% at the end of June, primarily driven by churn. Third order openings were back in line with prior year following the uptick in Q2, which had the opening of the [indiscernible] portfolio. However, churn, as indicated in my introduction, was above prior year in the quarter and this is mainly a consequence of the portfolio upgrade program that we have launched in 2023, which is, therefore, more of an active proactive churn. We do expect churn to normalize in the fourth quarter and fall back in line with prior. Now with regard to pipeline, we’re pleased to report an 8% growth over the quarter in the P&E division. And the last 12 months, M&F revenue per room is holding up at €1,200. Moving to the right. We had a slight acceleration in the growth of the luxury and lifestyle net unit growth at 7.1% on an LTM basis, continues to be driven by any [indiscernible], which was up more than 20% on an LTM basis. We see an improvement quarter after quarter in the net unit growth of luxury and lifestyle, and this is fueled by high openings and a significant pipeline. In the quarter, versus previous quarter, pipeline is actually stable. Dining, however, in the luxury and lifestyle divisions are up 22% in value on a year-to-date basis as we continue to focus on higher value deals. Some notable openings in the quarter were the Raffles in Jaipur, the Rixos Golden Horn and Sofitel in Coutu. And in the division, we also see steady M&F revenue per room at €4,000. So at group level, net unit growth reached 3.2% on an LTM basis, it is at the low end of our term guidance as expected. We had a bit more conversions. Conversions represented 62% of opening, which is above our historical level near 50%. Moving to Slide 6, which is the revenue breakdown by segment. Group revenue, slightly over €1.4 billion, up 12% versus prior year, reported growth is positively impacted by the consolidation of [indiscernible], which is impacting luxury and lifestyle partially offset by foreign exchange, which impacted us by a negative 2% in the quarter. And on a like-for-like basis, our revenue was up 9%. For premium midscale and economy, revenue was up 7% in the quarter at €821 million. Management and franchise was up 6%. That’s 1 point above RevPAR. We also had a bit of FX, a negative FX impact. On the positive side, we had some termination fees in the ENA region. Services to owner, the 14% year-over-year variation that you see here is terribly impacted by services that we provided to the Olympics organization. Hotel Assets and other performance remains driven by Australia and Brazil. So the revenue growth in this region, which is pretty flattish reflects the softness in Australia as well as negative foreign exchange from the Brazil deal. Turning to luxury and lifestyle. Revenue was up 18% in the quarter, €635 million. Management and franchise was up 10% in the quarter, that’s 3 points of rate growth, which reflects the strong growth of the Lifestyle portfolio, and again, partially offset by negative FX in this division. Services to owner growth was pretty much in line with RevPAR and hotel assets and other growth again reflects mainly the acquisition of [indiscernible] and Chabu, which we did in October of last year and [indiscernible] which was seen at the end of the first quarter of this year. Turning now to specifically management and franchise revenue on Slide 7. M&F revenue was up 7% in the third quarter. PME was up 6%. And as you can see here, this was primarily driven by the ENA region. As previously mentioned, this region benefited from some termination fee as well as obviously very good growth in RevPAR. In MPAC, the M&F revenue growth at 2%, broadly in line with RevPAR growth. And in America, you can see here, minus 2%, and this is a result of the depreciation of the Brazilian real, primarily as RevPAR was very positive in this region. Regarding luxury and lifestyle, M&F revenue grew by 10%. Luxury revenue M&F revenue is up 5%. That’s in line with RevPAR. And for lifestyle, you’re seeing 23% growth in M&F revenue combination of, obviously, very solid RevPAR growth, but also the very strong growth in the network in this segment. Turning now to Page 8 with a key takeaway. As we expected, and as we shared with you, the group foresee the normalization of the RevPAR momentum towards our midterm perspective of 3% to 4%. As for full year 2024, we are confirming our RevPAR guidance slightly between 4% and 5%. We’re also confirming our net unit growth between 3% and 4%. And confirming our positive services to owner EBITDA, and we slightly narrowed our upwards our EBITDA guidance, which is now expected between €1,100 million and €1.125 billion. And that concludes my introductory remarks, and I will now open the floor for questions.
Operator: [Operator Instructions] Our first question is from Vicki Stern with Barclays. Please go ahead.
Vicki Stern: Yeah. Hi, there. I’ve got 3 questions. Firstly, I just wanted to start on the RevPAR outlook. If we could just get a bit of a run-through of the key geographies in terms of how you’re seeing things evolving into Q4 and maybe next year, particularly curious, obviously, on France, given the political backdrop. And also the Middle East, you mentioned there the exit rate of high single digit, which I think included Turkey. Just curious what that is without Turkey, what the rest of the region is doing and how you’re feeling about the outlook there for Q4, I guess, obviously, with some tougher comps. Second one is just on the net unit growth outlook. How are you feeling about that turn or the exit pace as we move into next year, with that elevated pace of exits continue? Or is that mostly going to be done then at the end of Q4. And the last one just on AccorInvest. I saw the comments suggesting that the maximum equity injection now from you would be €34 million, not the €67 million you’ve called out previously. But just given the progress that’s being made there, both on disposals and on refinancing, how you’re feeling really about the process, the likelihood of needing to make another injection in March. And obviously, how that asset sale looks like it’s progressing through the next year?
Martine Gerow: Thank you for your question. So look, in terms of RevPAR outlook for the fourth we’re seeing, as I said, we’re seeing a normalization of RevPAR. So for the fourth quarter, we’re going to be in that range, which is in the, let’s call it, low single digits overall. And therefore, we just comfort for the 45% RevPAR guidance. As far as giving you some colors across the regions, ENA is post the Olympics periods, ENA is going to be more of a low to flattish growth, and France will be in that same ZIP code more or less. October – the beginning of October was a bit soft in France, second half of October is actually faring better. With respect to your question on the Middle East, obviously, Turkey continues to be strong. Dubai was just relatively flattish that we’re seeing – or we’re expecting positive momentum in Saudi Arabia, which obviously a key market for Accor in this region. In China, as I indicated, was minus 9% in the third quarter. The comps are getting a bit easier in the fourth quarter, but we expect China to be still negative in the fourth quarter. And I think that covers the key markets. It’s a bit too early to share what the outlook for FY ‘25 is obviously, as I said, we’re seeing RevPAR normalizing towards that kind of 3% to 4% midterm outlook. In terms of the churn, what we shared with you that the program, which we call Pure, which is a portfolio upgrade program was going to impact us more in a ‘23 and ‘24, we will have a bit of a – last impact will be in ‘25, but we expect that impact to be less than what it was in ‘23 and ‘24. And with respect to AccorInvest, Yes, as you indicated, AccorInvest has done too successful refinancing since they just issued a second one, which was actually at a lower cost than the first one. And so they are new the, let’s say, normalization of their debt structure is progressing at pace. They are also progressing at pace on their asset disposal program. The combination of the 2 reduces our maximum commitment to €34 million from previously €67 million. It’s too early to tell whether we’ll have to extend that €34 million or not. All I can say is that at this point in time, the asset sale is progressing as planned.
Vicki Stern: Very clear. Thanks very much.
Operator: Thank you very much. Our next question is from Julien Richer of Kepler. Please go ahead.
Julien Richer: There will be two follow-ups, one for me, please. The first one on the demand trend by clientele, have you seen any deceleration in, for example, major leisure demand, international development or domestic demand or on the business side, happy to have your view on that? And the second one on, if you have seen any change in construction and development due to interest rate evolution recently? Thank you.
Martine Gerow: Thank you, Julien, for your question. So with respect to demand by kind of type of customers, what we’ve seen is we’ve seen higher growth coming from business and groups. Leisure demand is still positive, but it’s progressing at a lower rate than those businesses and groups to better it’s 1:2 ratio between the business groups and leisure. And with respect to the loosening, if I may say, or reduction in interest rates, it’s certainly a bit early to tell. What we have seen is we’ve seen a higher rate of conversion in our openings in the third quarter. And not unlike, I think, what you’ve seen from other players.
Julien Richer: Okay. Thank you.
Operator: Thank you. Our next question is from Muneeba Kayani with Bank of America. Please go ahead.
Muneeba Kayani: Thanks for taking my question. Can you talk about the potential impact on you from the tax changes that have been talked about in France both from an income tax perspective and also on affairs? And then secondly, in the 1H earnings call, that there was discussion around luxury and lifestyle and kind of possible actions to crystallize the value and it would be reviewed in – I believe, in December, anything changed on that front? And how should we be thinking about that business? And then from a signings perspective, can you give a bit more color around what regions have driven the third quarter? And how are you thinking about that into year-end? Thank you.
Martine Gerow: Thank you for your question. So with respect to the tax change, so we have really 2 impacts. One is the corporate income tax and the other one is share based on the analysis that we’ve taken, and you have to recall that we’ve done a big fairly large net operating losses in France. So and trend is only 20% of our – less than 20% actually of our business. So on a corporate income tax basis and let’s say, share buyback assuming €400 million share buyback, the impact is less than €110 million for us. So definitely something that is relatively de minimis. On the luxury and lifestyle, we really have no plan to do any sort of capital transaction with this division. And on signing – most of the – and this is not different from what has been happening certainly this year. The focus or most of the signings are in Southeast Asia and the Middle East ad also good traction and starting to get good-traction in the U.S.
Muneeba Kayani: Thank you.
Operator: Thank you. Our next question is from Jaina Mistry with Jefferies. Please go ahead.
Jaina Mistry: Hi, good evening Ms. Gerow. One question on 20 25, and it’s a bit of a follow-up to the first question. I just wondered how you’re thinking about the moving parts to RevPAR in 2025. How you’re talking about the Middle East, China and actually in particular, Asia ex China, how you think the shape of growth could pan out there next year? And second question is just around the Olympics. I wondered if you could quantify the benefit at the group level in Q3. And it is around France, it’s been well flagged that there’s weakness in France post Olympics. You mentioned that the second half of October looks a bit better. Do you think traffic to France recovers in Q4? Any early signs of what’s happening there? Thank you.
Martine Gerow: Thank you for your question. So, in terms of 2025, if I start with China, we would expect that China is at best probably relatively neutral. And that really depends on when the stimulus program will be about in terms of the impact it will have on consumption. And we knew that it’s going to help real estate. We know real estate is an important asset for Chinese customers, but not clear how it’s going to affect Chinese consumption. So, a bit throughout town, but probably neutralize this. In terms of ENA, we think probably in the low-single digit growth, and we continue to see positive kind of mid-single digit growth for the MEA-APAC region, excluding China. And the U.S.-Canada is obviously a smaller market for us, and here, probably again low-single digit. With your question on the Olympic Games, I mean overall, we were expecting 2 points uplift in France on a full year basis and that’s pretty much where we landed. And in terms of France, you have to – so in Frankfurt seating [ph] in September, some of that is really to the post Olympics peak. And some of that is also related to, and I alluded to that in my introductory remarks, is the fact that we had pretty good September and October inference last year because we had the Rugby World Cup, particularly in the seats outside of Paris.
Jaina Mistry: Thank you.
Operator: And our next question is from Leo Carrington with Citi. Please go ahead.
Leo Carrington: Good evening Matine. Thank you. Firstly, could I just clarify on the comments you made about the churn, the elevation of churn. Is this the 30 this hotels in Germany that were sold back or invest or is it by DNB or are there other exits that I have not spotted. And in terms of competition, I mean how do you see the situation in Europe notice smart expanding Moxy, B&B hotels, obviously, in general, a big focus on conversion, which you have benefited from. What’s your view on the latest competitive development? And then secondly, just a follow-up on Vicki’s question really. I mean the midpoint of 2024 RevPAR guidance that allow for some slowdown from Q3 and from year-to-date. Is this an element of caution, or are you factoring in some specific areas of deceleration? Thank you.
Martine Gerow: Thanks for the question. I will just start with the last one. So, on the RevPAR outlook for this year, I said that we are comfortably within our 4% to 5% RevPAR guidance. And so our expectation for Q4 is that it’s probably going to be in the kind of low-single digits territory, which you should expect some normalization in RevPAR, and that’s what we have seen actually throughout the year. And again, our expectation going forward is that we will be in that 3% to 4% range that we indicated and shared with you at the CMD and that’s still where we are, given the diversification of our portfolio. In terms of churn, so we had a bit of a higher churn in PME in the third quarter. But when we look at the churn for the full year, it’s in line with our expectation for the full year, and it’s certainly in line with our net unit growth guidance of 3% to 4% in 2024, and we are not giving guidance by division for unit growth. But all I can say is that we expect PME to be in line with the CMD guidance we gave, which is 2.5% to 3.5%. Some of the churn in Q3 was related to the B&B portfolio. That being said, we are still a leader in Germany by far by choices, large as our next competitor. And with respect to that particular portfolio, this was an asset-heavy portfolio. And our strategy is very clear to move away from asset-heavy and remaining asset-light. And therefore, that portfolio did not fit within the strategy. In terms of the competition, yes, competition is healthy in Europe, not just in Europe, but again, we feel that we have a strong portfolio of brands. And that we can defend ourselves and continue to increase our net unit growth including in Europe. But as I have said, with higher result markets on Middle East and Southeast Asia and that’s what most of our openings and most of us seeing.
Leo Carrington: Thanks very much Martine.
Operator: Thank you. Our next question is from Alex Brignall of Redburn Atlantic. Please go ahead.
Alex Brignall: Thanks for taking the question. Looking at the full year guide, obviously, some focus on RevPAR, where there is a slowdown allowed for in Q4, but kind of looking at the revenue in Q3, it seems to be on a good trajectory. Is there anything in the cost line that is stopping EBITDA being upgraded somewhat or perhaps in services to owners is obviously always a tricky number to call on an annual basis because it moves around a bit. And then the second question signing is obviously better and the churn, kind of heavy churn phase is going to be over in well this year and certainly more so than next year. So, looking at the net unit growth expectations for FY ‘25, what we think is realistic sort of within that previously announced range of 3 to 5. Thank you.
Martine Gerow: Thank you for your questions. Again, with respect to RevPAR and current EBITDA, in July, we gave a guidance of 4% to 5% RevPAR, 3% to 4% net unit growth and an EBITDA range and honestly, we are still in – we are still within that range. And therefore, we are expecting the same EBITDA. We didn’t change the EBITDA guidance, a little bit upwards, but fundamentally, we are still within that range. With respect to the – with respect to your question on net unit growth for FY ‘25, what – I think what we said at the CMD was not our net new growth guidance and the mid-term was 3% to 5%, and our expectation with that at the beginning of the plan, it would be towards the low end of that guidance. Hence, our guidance for this year 2% to 4%, and as we move towards the middle and the end of the plan, we were expecting that net unit growth to pick up towards the higher end of the guidance. 2025 will be somewhere in that middle.
Alex Brignall: Thank you very much.
Operator: Thank you. Our next question is from Estelle Weingrod with JPMorgan. Please go ahead.
Estelle Weingrod: Hi. Good evening. I have got a couple of questions. The first one, could you quantify the impact of the cup in the UAE last year or the less you thought [ph] for a week, I think in December? That’s the first question. The second one, would you mind just I would like to look at the potential for further margin expansion like into next year. Just to understand better what are the key levers left for Accor for M&F in particular. Thank you.
Martine Gerow: I will take your second question on margin expansion. So, on margin expansion, what we shared, I think in previous calls was that our expectation was to have an operating leverage on is – sorry, M&F margin of about 100 basis points. And that’s certainly where we were tracking at the end of the first half, and that certainly where we will be tracking on a full year basis given what our EBITDA guidance here. So, we are still essentially on that, still on track with delivering that kind of margin improvement on the duration – over the duration of the plan. With respect to your question on the cup, I mean it’s a little challenging to isolate one particular event. So, I am afraid I am going to be risky to get on that one.
Estelle Weingrod: Okay. Thank you.
Operator: [Operator Instructions] Our next question is from Andre Juillard with Deutsche Bank. Please go ahead.
Andre Juillard: Yes. Good evening Martine. Three questions, if I may. First one about the MICE segment, you were mentioning that the recovery was continuing on the corporate, but do you see any real improvement on trade fairs, big events, first question. Second question about the corporate rates, you must have been starting the renegotiation for ‘25. Could you give us some more color about that? And last question about asset disposals. Could you give us an update on the Mantra disposal where you are and what is still to be done? Thank you.
Martine Gerow: Sure. Hi. On the MICE segment, as we said, we had a better growth in the groups in the third quarter as compared to the issue. What we actually see – we don’t have a visibility into the events kind of never sit in the world. But in the top cities where we see is we actually see a very, very robust event calendar. What we have received as estimation is up to 20% increase in attendance in events in the key cities. So, we should have a robust MICE business in the fourth quarter. With respect to the corporate rate negotiations, look, it’s a bit early to tell. But in terms of the, I would say, the guidance that we are giving our sales team is to have a rate increase in the same territory as what we did this year, which was – so I would say kind of mid-single digits. And yes, with respect to asset disposal of Mantra particularly, we have done a lot of the asset disposal already as compared to where – what we had when we made the acquisition, I think we have about 100 – yes, we have 100, that’s all, we have €100 million left on the balance sheet. Those leases are a bit harder to dispose. We went from €400 million at the time of acquisition to €100 million now. So, we basically have the harder lot in some sense to dispose, but we are still working, and we are slowly materially disposing of those assets. But most of the heavy lifting has been done.
Andre Juillard: Okay. Thank you very much. Just to come back on Vicki’s question about Accorinvest, you still maintain the timing of H2 ‘25, early ‘26.
Martine Gerow: Correct.
Andre Juillard: Okay. Thank you.
Operator: Thank you. As we have no further questions in the queue, I would like to turn the call back over to Madam Gerow for any closing remarks.
Martine Gerow: Thank you for attending this call and I wish you a good rest of the evening.
Operator: Thank you very much. That concludes today’s conference. You may now disconnect.